Operator: Ladies and gentlemen, welcome to the Titan International, Inc. First Quarter 2015 Earnings Conference Call. During this session, all lines will be muted until the question-and-answer portion of the call. Any statements made in the course of the conference call that state the company's or management's intentions, hopes, beliefs, expectations, or predictions for the future are considered forward-looking statements. Please note that the Safe Harbor statements contained in the company's latest Form 10-K and Form 10-Q filed with the Securities and Exchange Commission extend to this conference call. And any forward-looking statements involve risks and uncertainties as detailed therein. At this time, I would like to introduce Titan Chairman and CEO, Maurice Taylor. Please go ahead, sir.
Maurice Manning Taylor - Chairman & Chief Executive Officer: Thank you. Good morning, everyone. And you'd be on the call, you've already seen the press release and 10-Q is out there. Let's back up a little bit. It was two months ago. I was on the year-end earnings call for 2014, which was not a good year. But every company has to have a year of adjustments if it is to grow, and I believe that was our year last year. This first quarter, our sales were down but 60% of that drop was due to the currency adjustments, not a lot you can do about that. But otherwise, you look at what's happened, our gross profit percentage, even with the sales drop, was up, which tells you that, number one, we – in this market then we have been doing a pretty good job. But if you turned around and you looked at the machining numbers that came out on the retail side for big equipment in the farm side you'll will find that North America, the first quarter was down 48% and which is a big drop for big equipment. And if you look at our numbers, we, of course, were not down like that. So what we said two months ago that we do grow our market share in a down market. And in this market, when it's taking off, is our LSW tires and wheels, which we've been preaching a long time. They're being offered now. They're going into the price books by our OEs. And we spent years trying to get that done, to offer these options. It's really kind of hard though when you look back, and most of the OEs were just banging whatever equipment they could get out the door to have it sold. Market's changed a little bit on them for right now. So in three to four years, we mentioned this Grizz Squad, and what we really did, we backed off the big OEs and decided to go right through the large farmers, which you've heard me talk about. That was our Grizz Squad, which we have expanded now to the construction companies. And this is not referring to OEs and lengthy equipment. I'm talking just about the fellows that – every state has a couple one or two great big ones. In fact, yesterday, I met with a fellow in Detroit, who handles all this equipment for a big private company whose business worldwide for sand and crushing gravel, stones, et cetera. And he told me about – he put his set of LSWs on his 980 Caterpillar machine, and he was ecstatic. He ran it for the last year. It not only improved the operation. It improved in the handling, the safety, but the biggest thing that he had to mention, it saved him a lot of money. And he's going to make those across the board on his fleet, which is we will be doing right direct with him and that's another thing I should say. We're changing in a big way how we go to market. If any of you have followed us, you know we make tires for the agricultural and the construction and the mining – wheels and tires. What happens is that in the aftermarket, you were going to – the old way was go sell it to a wholesaler or to a – direct to a big dealer. But when you do that you realize that's not their main business. Their main business is automotive, truck, et cetera. Very few, 30%, of their business is in what we do. So you always have someone else in the same shelf for whatever sale or whatever. So we decided three, four years ago, because we have a product that no one else has out there and it does, contrary to anybody thinks, improve the characteristics, the use of the equipment that you're using. So when you can get them 5% or 6% more in fuel savings, you got it. The operator likes it. They can pull more with it, work at less air pressures, less compaction and it's safer. In many ways, they – you got yourself a good product. So what we have done is we have moved to not only talking with the large farmers and, of course, the big farm equipment dealers. We have also now, by expanding our Grizz into the construction, dealing with construction companies just like this other fellow. And when you look at those companies, they change and handle their tires themselves. They're big enough so they do it all. And even though your equipment dealers in the farm side don't necessarily sell the tires direct, they are interested in buying total assemblies from Titan where they can turn around and change out a customer who's got the old balloons. So he's got tires that if anybody asked about, they've been around for 50 years. So this is the way we're going and that we believe that will give the tire dealers that we deal with, we will be able to have stronger, better reliance with tire dealers because eventually, they're going to be carrying the LSW to change out tires over time. One nice thing about tires, they do wear out. The other situation, which concerns all of you, is that over the last three to four years in this process, we've expensed out about $50 million that we don't have to do anymore, so we've already taken our hit. And we are building this business. You can't – I got one board member who thinks everything is, in manufacturing, it's like a light switch, you just push a button. It doesn't quite happen. So this is a long process. We've been working on it. And now it's starting to come to fruitation. And the unique thing about it is that, as this building business keeps growing, we should hit new sales highs, we should hit the best profits and, of course, I appreciate that's what most everybody wants. But the unique thing is we're the only ones, who have the manufacturing capabilities for both the wheels and the tires. So we're going to not be spending a lot of capital to – if we succeed in this thing and we will succeed. There's no question about that. I'd also, while we're looking at this first quarter, make sure I mention that when you look at the Brazilian operation and the Russian tire group, they swung in the positive in the first quarter and that's real good to see because what they did had to do this past year of cutting the bodies and everything else, they are starting now to move up in very down market, very tough markets. But they should be able to grow to the profitability we expected. I also should mention that our largest competitor in Brazil happens to be Pirelli and now with Pirelli being bought by the Chinese, I would expect that our market share will grow very fast down there and that we are also – our people that are down there right now because we're going to do the same thing down there. I think it'll be easier down there, won't take us long because we've done it up here, and that is our Grizz Squad, to move that and get it going. I would also like to take – and the same in Russia. When you look Russia come to, and they already had two weeks off the first two weeks of January. So I would say the new management team at Titan headed by Paul Reitz and John Hrudicka, they're building a real base. They're taking the base they got and I think you're going to be very pleased as we keep going, what they do. And we can back that up but just looking to see the first quarter with what everything went, I was expecting it not to be as good, especially on the EBITDA, than it was. So you're always happy when you see that. And if any of you attend the Shareholders' Meeting in Union City on June 4, you'll see Titan's thermal reactor, the portable unit, will be in operation, plus you'll get a plant tour, and you'll see what they're doing today and what we expect in the future down there. I'll be going up to the oil sands meeting with our partners and customers up there this Tuesday. We are – snow's gone and we're in movement to get on with the reactors up there and we expect to be up full bore on them 100% by 1st of April. We'll probably have one side of them going later this summer, but as I mentioned earlier, our Titan Mining Service and all these customers we have, we've also made deals for tires, wheels, track component, tire service, repairs. So over the next few years, we believe that business will grow in excess of $100 million in our manufactured and servicing products. It does take time and planning and our partner up there is Suncor and I think they're pretty pleased with what we're doing. We have a tendency to move a little faster, but the other big mines have either signed up or they're in the process. So we're excited about that part. The only thing that we're looking real hard that we have got to make some adjustments, the adjustments will be in Europe. On our wheel side, the plan is in place. We have to execute it. Also to cover – we have decided, from the management side, of an acquisition and expansion in Brazil, reference a tire facility – not tire, wheel facility, excuse me. We have equipment, most of it. It's not going to be a large capital outlay, but that will be approved or not approved at the June 4 meeting. The only other – that's the only acquisition that is up in front right at this point and very significant. We're looking some other stuff for add-on pieces at all the other facilities. But I can't mention those. But things are pretty good. And then, finally, before I turn it over to Paul, right after the first of the year, there was a deal that talked about the liquidity of Titan. And I don't know how many of you own shares in Berkshire Hathaway but my wife does and I was reading his comments. But the situation is that you take your numbers you have. Number one, you take our receivables. That probably is take a 1% or 2% if you wish but most of them are all insured. And then you do the same with the inventory and you got about $200 million – or $550 million total. You subtract that $150 million of payables and you'll find that with the cash, you can pay everything off but still have a lot of cash left in your bank account. And if you noticed that little number that sits there, prepaid, that's all that royalty we got when we bought everything with our friends at Goodyear. So whoever concern, those notes don't come due until 2020. Anybody that can figure out what 2020 is up there, God bless you. But there is one thing a fellow pointed out to me, that Caterpillar's construction sales – and I think Cat's been handling what's going on extraordinarily well. But the last time their sales dropped that many years like that was 1929, and I don't think anybody on these phones was around then, so I thought I'd mention it. We think we've seen the bottom. We think from now to the rest of the year. And so there's a little patch in 60 days some place on here. There'll be some adjustments from the OEs, but we're real positive. We're real positive. If you go out there and look at the – the construction is starting to percolate a little bit more. You're seeing the farmers are hitting the field. We're marching, and we're marching pretty good. Europe is still a – anybody that could understand Europe, God bless you. I don't, but we're going to take action there to streamline that and to boost their margins, too. We're excited. We're really excited about what we're doing. The tough part was over. No offense, (18:28) whenever you take people out, you affect real things, but it was done and I'm very proud of what the people that stepped up to go. With that, why don't you bring them up to what the hell you've been working on, Paul?
Paul George Reitz - President: Yeah. Sounds good, Morry. Thank you. Good morning, everybody. As you've seen in our results and already heard from Morry this morning, our Q1 was a very solid, respectable quarter for us. You look at the backdrop of significant softening in the ag demand in really all the major global markets, especially large ag, as we've already discussed this morning. Our team really has done a good job in executing this quarter. And that resulted in increase in operating income compared to last year at this time. Let's face it, these aren't easy times with the sectors we operate in and it doesn't appear to be getting any easier; may not be getting worse, but we haven't seen that uptick to get easier yet. So it takes a lot of sweat equity really day in, day out to make good, difficult decisions in times like this. And the first place you have to start is managing the operating cost base. We have been and we will continue to be aggressive in managing our head count to keeping aligned with the volume fluctuations. Our global head count is down well over 1,500 people or just under a 20% reduction from last year at this time. These adjustments have been accomplished without sacrificing output efficiency levels when you look at it at the output per man-hour level. Clearly, our plants aren't as efficient with lower volume, but when you look at it at the per man level, we have been able to maintain and, in some cases, increase our efficiency levels. Along with effectively managing the head count, we reduced our operating expenses over $12 million from last year's Q1. This process isn't about just simply slashing people and expenses; we're also finding other significant ways to improve our business while reducing cost. For example, we had a big improvement in our North America cost of quality for warranty and scrap, that's around $3 million to the bottom line in this first quarter. And really the culmination of all our efforts is evident when you look at our decremental margins, gross profit margins of just 18% for our ag business. So we will continue to be diligent, to make timely adjustments, to keep our operating cost base balanced with market conditions, but we're not going to do it and impact and sacrifice our long-term growth initiatives. But really managing our way effectively through the downturn is quite simply the table stakes. We need to do that, and we simply must do that. My goal and really the organizational-wide goal is to be a much better company when the markets turn positive. So at that point we can be up and running and really effectively delivering meaningful long-term value to our shareholders. And again, as Morry talked about this morning, I just want to reiterate it. When you look at the product innovation that we're bringing to the market, you look at the product portfolio that we already have, the asset base we have in place, there's nobody in the world that can do what we can do when it comes to wheels and tires. And really for us, that's our organizational-wide goal that when the market gets better, we are taking our assets and our people, our technology, and we are running. And that's really what gets our team charged up every day to come work at Titan. Over a year ago I started talking about the One Titan framework to reorganize and realign our company around our core products. This is a multi-year journey, but the first quarter results do serve as a good positive checkpoint for us as we really progress on that journey. As One Titan we will balance our decisions to do what's right for the company today in the short term one year from now and for the long term five-plus years from now, and really that's what the One Titan framework is doing. It's removing the silos to improve the communication in the processes we go about on a day-to-day basis. It's focused on making the adjustments that are needed in the short term to keep our business effectively competing in a very challenging marketplace. But at the same time it's putting in those long-term initiatives, investments in place through EVA, through our pricing – our profit optimization and our pricing initiatives that really make this a valuable company for the long term. And we will continue to update you on that progress, but again certainly feel that the first quarter was a good checkpoint for us and demonstrates the progress that we've already made in roughly a year or so under this initiative. With that I would like to turn the call over to John, who'll run us through the financial side of it. John?
John R. Hrudicka - Chief Financial Officer: Thanks, Paul. Good morning, everyone. Well, relatively speaking as both Morry and Paul indicated, this was a very good quarter for us. While we were down significantly in sales to prior year to the tune of $137 million, we did turn a profit and showed improvement to last year at a net income level. While we did not provide guidance, we did beat our internal operating plan relative to profitability. From an EBITDA perspective, we also beat both prior year and budget on significantly less sales. This is a testament to the diligent actions we took last year. The change initiatives we've driven continue to drive that are now materializing in our results. So let's begin by talking about revenue sales for the quarter. We're at $402 million, so it's down $137 million or 25% from prior year. The quarter-over-quarter decrease was driven almost entirely by reductions, and our ag segment as mentioned earlier in currency comprising $132 million or 96% of the variance. More specifically of our ag variance, the majority portion is attributable to North America. I reference currency, this drove a reduction in sales of $50 million in the quarter versus prior year. This impact was felt across all our international locations, our global undercarriage business, Russia, Latin America, Europe, and Australia. The most significant movements represented by the ruble and real. If you adjust for the currency impacts, sales declined 16.2% versus the reported 25.4%. So let's discuss the ag market. I don't know if there's a lot to say here that isn't already known or has been talked about previously. From our perspective, sales have deteriorated more than we planned internally. The OEM market continues to be sluggish as our large ag equipment customers have cut production commensurate with lower demand. All the same negative forces are still at play that are driving ag back to normalcy, lower farm income, lower commodity prices, higher input costs, increasing rents and high used inventory. There is some hope that any weather disruptions, increases in oil prices or extensions of RFS through Section 179 could have a potential positive impact in the short term. But the elephant in the room is still the late model equipment resident with the farmers and the high used inventory levels that still exist. Specific to Titan, ag in total was down $104 million or 33% or $82 million excluding currency impact. North American ag was down $69 million or 32%; $57 million or 83% of this erosion is driven by reduced demand for high horsepower equipment. In Europe the continued decline in ag is driving our large OE customers to institute unplanned shutdowns for extensive periods of time. On the positive side, our waffle wheel, a unique patented ag solution that combines the two attributes of adjustable track with high speed and strength continues to grow on popularity and gain share. There will be an effort very much like our LSW solution approach to demonstrate the value proposition in a more analytical manner to further drive both adoption and market share gain. Latin America continues to suffer from uncertain political environment, limited credit availability and very aggressive competitive pricing pressures. But as Morry pointed out, despite all these challenges, they're performing admirably and really taking profit optimization to heart. In regards to Russia, the numbers are relatively small. When adjusting for currency impact, sales were flat to prior year. So let's turn our attention to earthmoving/construction. Our sales for earthmoving/construction were down $10.5 million or 6.9% from prior year. If you exclude currency impact, we actually grew quarter-over-quarter by $5.5 million or 3.6%, primarily driven by our undercarriage business. We are experiencing some growth in construction, while mining, although remained weak, is stabilizing. Let's look at consumer because the results could be a little misleading. While we decline $22 million or 32%, $10 million of the sales reduction is from FX. In addition in Brazil, we are no longer selling compound to Goodyear to produce the treated fabric that we buy back from them. We have brought this activity in-house as a profit optimization initiative eliminating $10 million of sales on the quarter, but clearly the right thing to do for the business. So when adjusting for these two items, sales declined only 2.9% versus the reported 32%. The primary drivers of the net decline is further erosion in Brazil, truck tires offset in (27:27) and the high speed train brake supporting the China railway system development. So let's move to gross margin, since I believe we have a great story to tell and you've heard excerpts of that both Morry and Paul. While gross margin dollars were down $12 million to prior year, this is reduced to $5 million after you adjust for the Italy restructuring charge associated with the exit from our Crespellano facility. Our adjusted gross margin rate performance at 10.8% is up 70 basis points to prior year on $137 million less in sales – phenomenal performance. We've been talking for several quarters regarding our profit optimization framework. There has been tremendous amount of diligence relative to ideation, initiative execution, and driving change. And we are now realizing the benefits of our efforts. Net material cost reductions are across the board, natural rubbers, synthetic rubber and carbon black. We have significantly improved our procurement of natural rubbers through the centralization of purchasing and implementation of a hybrid purchasing strategy back in Q3 that consists of forward buys that performs like a hedge, SICOM contracts, and spot buys. These new methodology is designed to reduce both our costs and price volatility risk. As we discussed on previous calls, we've reduced head count significantly, and our plan is to respond to both lower volume and our profitability challenge. We are through the learning curves and the inefficiencies typically associated with significant head count reductions of this kind. We are realizing the full annualized benefit this year for the actions taken last year. We continue to proactively manage head count to our changing business environment. In addition to the head count reductions, there has been a relentless pursuit of productivity improvements. You heard Paul Reitz talk about that, reference that in terms of some of the measures that we follow. To put it in perspective quarter-over-quarter, we generated a positive productivity variance in respect to labor and overhead on $137 million in lower sales. That is an incredible achievement by our plants. Quality continues to be very a positive story in 2015 as we realized $3 million to the positive side relative to our warranty cost when compared to prior year quarter. We continue to improve the quality of our products while older issues fall off. To put it in perspective, our warranty cost as a percent of sales averaged 2% from 2010 through 2013. In 2014 we improved this to 1% of sales and in Q1 of this year, we sit at 0.63%. So depending on your sales point of reference, the improvement in warranty from that 2% average translates into roughly $25 million of annual profit improvement. The positive impact of our improved quality permeates well beyond the lower warranty cost. I stated this last quarter, but I think it's worth mentioning again. Our customers have taken notice as we consistently get feedback that our quality has improved significantly. This combined with the current momentum with LSW that Morry talked about earlier is causing our customers to deal with much more positively. We are being recognized as an innovator that delivers a quality product. Quick note on operating expenses. SG&A, R&D are down $12 million to prior year. While there is series of puts and takes across these categories, this decrease is a function of profit optimization initiatives, restructuring actions, and FX. While our operating expense structure has been historically lean, we continue to explore opportunities to invest or redeploy funding to other areas of strategic initiatives. We've made numerous investments in technology, coupled with business practice in building out our performance management framework. These initial areas of focus, and Paul referred to them, consist of insight to profit supporting our pricing practice, CRM represented by Salesforce and Value Express our EVA tool through which we are building our three-year plan. So moving down the P&L, our interest expense was slightly reduced. We continue to explore strategies to manage our debt and further reduce our interest expense. In regards to foreign currencies, so you may recall, we incurred a significant loss of $32 million related to the currency exchange in 2014. These losses primarily reflect the translation of intercompany loans at foreign subsidiaries denominating currencies other than their functional currencies. You will notice in Q1 we generated an FX gain of $6 million. $4.5 million of the $6 million was driven by our hedge positions that we took in late Q4 as part of our new risk management policy. We are actively exploring additional strategies to further mitigate foreign exchange risk. In addition to the hedging transactions I referred to, we were also able to mitigate our P&L exposure through reclassifying and intercompany loan balances long term, which avoided an unfavorable $2.5 million impact to the income statement. We are currently exploring a similar reclassification strategy for additional intercompany loan balances where appropriate. So let's summarize this and bring it to bottom line relative to profit. Our 2015 net income attributable to Titan stands at a $232,000 profit and EBITDA at $27.6 million. That compares to net income attributable to Titan of $2.2 million and EBITDA at $24.1 million from prior year. When we adjust for the Italy restructuring charge I referred to earlier, our net income attributable to Titan and EBITDA grows to $731,000 and $28.3 million, respectively. So let's touch on a few balance sheet items briefly. We typically experience a build in both AR and inventory coming off lower Q4 levels, and as expected this did occur again in the share, but only for AR, inventory actually went down. For the quarter AR is up $40 million from 2014 year-end but down $88 million from Q1 of the prior year, driven primarily by lower revenue with slight improvement in DSO performance. Inventory actually went down in Q1 as I said, defined the customary Q4 to Q1 pattern, but with the downturn we had been steadfast to manage inventory levels more efficiently. So in this EVA framework, we manage both the income statement and the balance sheet diligently. From Q1 2014, inventory declined $87 million driven by both revenue and inventory management. DSI is improving eight days or 10.5% from prior year and 15 days or 18.3% from 2012. In regards to PP&E, we continue to spend under our depreciation expense generating cash. We have been carefully scrutinizing capital that ensures strategic alignment, positive EVA returns, and cash generation. So speaking of cash, cash ended the quarter at $191 million compared to $202 million at the beginning of the year. We are very aware that concerns persist of our illiquidity in cash flow as we fight through these down markets. We continue to be mindful of our cash position and manage it diligently. As I indicated on the last call, we plan for small cash generation in 2015. This is still the case as we speak now. In regards to Q1, there are just a handful of key drivers comprising the net $11 million reduction in cash flow. Primary driver of the gross increase is accounts receivable at $56 million and this was offset in part by 24 million in accounts payable growth, $7 million net capital reductions as indicated earlier, $6 million inventory reductions, and a $4 million tax refund. From a debt perspective, well, our debt to trailing EBITDA measure is doubled from one year ago to 5.66. This is solely a function of falling profitability as our debt level today is $53 million lower than Q1 in 2014. I want to point out that this ratio is stabilized in Q1 and is slightly lower than one quarter ago. I will continue to repeat each quarter as we get this question a lot. We do not have any financial covenant associated with our debt. So wrapping up, there's been a lot accomplished. Our results are improving in the phase of still very challenging market conditions, but there is still much more work ahead of us. Equally important to note, if you are a Titan employee or an investor in our company, there's a lot to be excited about for our future. So with that, I'd like to turn the call over to the operator for questions.
Operator: Thank you. We will now begin the question-and-answer session. Our first question comes today from Ian Zaffino with Oppenheimer. Please go ahead.
Maurice Manning Taylor - Chairman & Chief Executive Officer: Well, good morning, Ian.
Ian A. Zaffino - Oppenheimer & Co., Inc. (Broker): Hey. Good morning. How are you?
Maurice Manning Taylor - Chairman & Chief Executive Officer: You're the first one to call on before we answer – ask your question, I'm in this great apple of yours. So if anybody wants to have me come over and chitchat, I'll be more than happy to do, and I'll be here till noon tomorrow.
Ian A. Zaffino - Oppenheimer & Co., Inc. (Broker): All right. Yeah, that sounds good. Let me – we'll talk offline and go through it all, go through the details.
Maurice Manning Taylor - Chairman & Chief Executive Officer: Yeah, call. John will set up everything, but otherwise I just it screw up, you know that.
Ian A. Zaffino - Oppenheimer & Co., Inc. (Broker): All right. Good, good. The question would be, you obviously earned a profit this quarter and, Paul, I know you talked sort of about being obviously undersized maybe in Latin America, but not really having all the components in Latin America, not having all the components in Europe. And getting to the point where you have to kind of decide what to do with those businesses, whether to make them bigger or maybe exit them. But it seems like you've embarked on a pretty successful cost-cutting strategy that's working. Are you now okay with not sort of having all the pieces of the puzzle in those two markets? Or are you thinking otherwise, sort of where is your head?
Paul George Reitz - President: Well, no, I'd say we're not okay with not having all those components. You look at our long-term strategy of who we are and what really makes Titan unique is being able to do wheels and tires and deliver those assemblies and you see what we're doing with LSW with the great innovation that's been. We need to be able to do wheels and tires in the major agriculture markets around the world. We've got to be able to cover the CIS, Europe, North America, and South America. And so that's what Morry was referencing in the call today. We are looking at some assets for wheel business in Brazil. It would be an entry point. That would be successful in getting us delivering assemblies to the OEMs and that's really our target market to begin with. And it wouldn't require a lot of investment. It require a lot of really of Titan's ingenuity and experience that we would bring to the table to take a good little operation and turn it into something that is of Titan's standard. And so, Morry referenced that. We are in the early stages of that and certainly we will keep everybody up-to-date on that. But our goal is to be able to do the wheels and tires and deliver them in the major markets around the world. So no, I don't see us backing off of that, Ian. We're comfortable with our balance sheet and really moving forward with that plan.
Ian A. Zaffino - Oppenheimer & Co., Inc. (Broker): Okay.
Maurice Manning Taylor - Chairman & Chief Executive Officer: I'd like to just show in there, Ian, that number one, as Paul mentioned, we're moving around the water and more going on water to Russia. We did not decide to move staff in there, of which we have most of that equipment in warehouses until we had the employment level to where we wish. And when you look at what we're doing in the U.S., we've concentrated in North America on the LSW. We made this total change for going into the aftermarket three years to four years ago. And like I said in my comment, we spent probably close to $50 million, that's been spent, spends out. Now we're getting the fruits, just like planting corn. The suckers are out of the ground now, they didn't just die there. Now we got the OEs, so we're doing this in a very structured way because what you cannot do is you cannot all of a sudden turn, as I said to one board member, turn a light bulb on, go do all you say and then you can't produce it. So it is – this is a very – walk before you just start run. And we believe this year is a year we break out big time in North America that gets us this year to get things the wheels so we can make them in Europe and we can make the tires over there. And that you don't want to just throw stuff in until we're consolidating in Europe and Italy. We've got some other situations we can do to improve their business. And when you go to Europe you don't have big four-wheel drive tractors because you can't run down them a damn road. So – but what you do have in Europe is very high horsepower row-crop tractor and what we have found and we're going to be working with Monsanto, DuPont Pioneer, and Stine. It was the Stine Seed Company that called us. But the greatest thing about having super singles is you run right over the crop but you're putting less compaction when if you're running duals. And when you have 95% of North America and Europe, Europe's duals are clip-on, you've got a market that is huge. And for change, but it's pretty hard if you go up to a farmer that's just blew, right, $250,000 for a tractor. Well, you're going up to tell him, hey, you know, those $30,000 worth of tires and wheels you've got on your tractor, they're no good, buddy. Now, if you can go to him direct, your price is not going to be $30,000, and you give him a little something on what he's got. Now we can probably sell those tires into a different market, sell them as either – at a discount, as long as we get our money back, we're happy and sound. And that is what we're doing. I hope I explained it now.
Ian A. Zaffino - Oppenheimer & Co., Inc. (Broker): All right. No, that was very helpful. Thanks a lot, guys. Appreciate all the color.
Paul George Reitz - President: Thanks, Jeff.
Operator: Our next question is from Schon Williams with BB&T Capital.
Maurice Manning Taylor - Chairman & Chief Executive Officer: Hi. Good morning.
C. Schon Williams - BB&T Capital Markets: Good morning, sir. I wonder if maybe we could just get an update on where we are with the EVA implementation, maybe, John, can just talk about what inning we are with that and kind of what milestones we should be looking for over the next kind of 6 months to 12 months.
John R. Hrudicka - Chief Financial Officer: Sure. So we've grounded our capital committee process into EVA, actually our template, our financial template that we fill out and is used to propose and justify a capital appropriation is EVA grounded. We are currently in the midst of developing our three-year plan, strategic plan grounded in EVA. This is, obviously, a new approach for us as it would be many companies. So we're a little bit slower going through the process as the company learns and adopts EVA. It is our intent to actually present that plan to the board in June, and this three-year plan grounded in EVA will actually be correlated to a share price target for the company. So that's where we're at. The active engagement, the seeking of learning and better understanding EVA is rampant across the leadership team, and this will continue to percolate and evolve over the next six months to 12 months. Now with the culmination of that plan, that sets into the motion a very rigorous monitoring of the execution of the initiatives that are required to execute against that three-year plan and achieve our share price target.
C. Schon Williams - BB&T Capital Markets: And is there any discussion going on around having some of this plan tied to management compensation? I'm just trying to get a sense of, is this more of a development tool, or is this something that potentially will be used to kind of measure management somewhere down the road and hence compensation would be tied to that?
John R. Hrudicka - Chief Financial Officer: We have not had active discussions in that regard. I think our first step is to get the plan in front of the board and get them indoctrinated with EVA in the approach. But certainly if you adopt EVA and you become an EVA company, you're not all in, so to speak, unless that is grounded in your incentive compensation, just – and so the very well-run, well-managed EVA companies all have that common element as part of their incentive compensation system. So I would expect that to be a goal for us as well.
C. Schon Williams - BB&T Capital Markets: Okay. That's helpful and then I wonder if we could just maybe dive into the Latin American market a bit. There seems to be some very kind of challenging economies in that region, particularly Brazil. There seems to be some question about maybe where the economy (46:18) rates go over the next couple of months here. Can you maybe just talk about – I think you described it as challenging, but I mean, is there any reason to think that it gets better or it gets worst from where we are right now?
Maurice Manning Taylor - Chairman & Chief Executive Officer: Well, from my point, Schon, the ag down there is always going to be going. You've got challenging parts down there with their currency going, you've got the political situation, but the great thing about South America is that 90% of those countries down there, they suffer the same fate. Just look south of them at Argentina. So we have been expanding the capacity from the tire range and the tire sizes, and most people don't understand that what's happened in South America is that they get new equipment, but they don't get new wheels and tires, unless you can import them in and they got a 40% duty. So we have turned around and told the OEs, we get into the wheel business down there, we'll have the same selection of what they have in North America, tire and wheel. So we're excited about it. They just had their big farm show. And the head of our Grizz Squad was down there. It's a lady. She is an engineer, and she's down there setting up. It's going to mimic what we do here. So what we believe is going to happen is once we have that ready, your farmers down there, a big farmer in America has 40,000 acres. A big farm down there is over 200,000 acres to 300,000 acres. So if you talk about owning a market, that is where we're going to be, and we have the Goodyear LSW down there, and we can go, too. So I don't see a big situation of them falling off the wagon. Their currency keeps dropping. That's fine. But that also allows them to export readily up through Central America and all the other places. So, there's good and there's bad. The bad hits you right away. It's good the long term.
C. Schon Williams - BB&T Capital Markets: All right. That's helpful, guys. I'll get back in the queue.
Operator: The next question comes from Larry De Maria with William Blair.
Maurice Manning Taylor - Chairman & Chief Executive Officer: Hi, Larry.
Larry T. De Maria - William Blair & Co. LLC: Hey, Morry. How you're doing? Thanks. A couple of questions, first off, any update to the EBITDA targets for the year, Morry?
Maurice Manning Taylor - Chairman & Chief Executive Officer: You guys just keep wanting to discuss with me, you know? I mean, what are you, shocked, I get the first one? That's the shock. No, when I tell you it's positive, I'll know more after what the guidance on the board and everything, what they want to go, most of the stuff that's in the works, it's like I said I got, what was it, calipers or whatever, think you ought just with everybody. That might be good if you're in the high tech stuff, but long term, a lot of the stuff we've planned, we've been for planning years. I don't know. The good news that we got to tell everybody about is in our mining sector. We now have gotten approvals that a number of mines for our big loader tires, and we're really excited about that, and we are excited about our partner up in the oil sands. So if everybody – you're an analyst, you know that if you turn around and you produce anywhere from 7,000 to 10,000 is the max you could ever produce out of Bryan, well, you would run that plant at a full capacity. So we are still making super giants, and we have some success with some good areas around the haul trucks, but our whole concentration has been to go into going after the loader market. And if we – this will be the defining year, I believe, because we've had the product out there. We just set the record: 18,000 hours on a radial 994 loader, and no one can claim that. So we're really excited what we're doing. There's a lot of interest. That is approved by Cat on the 994 loader, so we're now running him on the WA 1200, which is a Komatsu loader, and we're on them (52:18), so that kind of take care of that loader market. And we'll go this year and we're really excited; that would be a boost that would change your EBITDA drastically, Larry.
Larry T. De Maria - William Blair & Co. LLC: Okay. That's very helpful, Morry. Thank you. And sticking with mining, you noted that it's stabilizing. Most companies seem to be seeing another lag down to start the year. So is it really...?
Maurice Manning Taylor - Chairman & Chief Executive Officer: Well, I think the problem is this. The mining boys went so wacko and especially in the iron ore, the iron ore and the coal, he got – they failed on global warming so now they got climate change, okay. I mean this is what happens when people don't get out of the city. I just don't see mining – underground mining is going pretty good. There are certain other aspects to the mining business that is holding pretty good. Oil moved up a little bit, so up in the oil sand, no disrespect to the companies out there. But they went local. They all went nuts. I mean, it was simple, $100 a barrel, they just throw money. You want another $1 billion, here's another $1 billion. Well now, they're getting sensible, they got to earn their money. It's like the dot-com boys. So I think they're going to do okay. I think they're going to surprise. They're helping the farmers. Potash has dropped down. So I think the – they're no longer around Smith Barney. Didn't they have the motto, we want to earn our money. There's a lot of people who don't think that they have to work. All you had to do is watch Baltimore. So you've got to turn around and look at – I think it's going to be okay. For us it's going to be okay. We've already hit our trough. We've got more action on that than any – in years only because our LSWs make their equipment work better, handle better, and it's safer. And it's the same when you go underground. So I'm kind of excited about it.
Larry T. De Maria - William Blair & Co. LLC: Okay. Thanks. And last question, just moving to ag you talked about share gains, I think primarily for the LSW, Morry. What's going on with the rest of the core ag business? How is share going there, and what kind of industry capacity do you expect to come online over the next near to medium term? Is that a headwind or have some of that been cancelled do you know about?
Maurice Manning Taylor - Chairman & Chief Executive Officer: No, no. What's happened now is that, the offshore boys – they got big problems, there's recalls going out there, everything else. I don't see – we'll get right down to it. It's Firestone and us, okay? So the situation that we've been doing, yes, the LSW, but you remember, we're bringing that LSW all the way down. We've just had six engineers from Kubota in Quincy last week – this week – I think it might have been this week, and they were – this week. They were in Quincy, and we showed them the LSW for the 100 and less horsepower tractors. And, holy man, I was surprised at how they were excited about it, because here's the benefits that you get and that's the whole thing. Everybody has to understand, you go buy a brand new John Deere, you might have tires and wheels that were designed 50 years ago. I know the duals because I designed them. Those duals are over 30 years old, they work. So, you've got to get them some new technology and get the farmer and I think the farmers and the contractors you've got the same tires on the backhoe and the loader. I mean, the wheels that are on Caterpillars loader 25-inch wheel are older than the oldest guy at Cat, same is true at Deere, same is true every place. So, I can't name the company, but it's not a U.S. company. It's offshore, but they're real green, and this guy in Detroit bought four of their loaders. He spent $750,000, and after two years, he got a guy in Kentucky that buy in for $150,000. He said I had to ship them all the way to Kentucky, the sucker. He won't even come and get them. The reason being he had Michelin tires on and nothing wrong with the Michelin tire, great tire, but the tire – the wheels are getting up to 500 degrees. And the engineers, we went and gave a talk to him, told him, well, maybe you are going too fast or you are doing this. I mean, it's crazy. Well, you know LSW, that the fools would have called us, we would give them now the LSW and then never had a problem, but that guy will never buy a loader again from us. So, we've had a lot of wind at our back right now, and we're not going to let up, we never have, and we're happy about it. And I don't worry about the people – hey, we spent $50 million just in the promotion of what we're doing with the LSW. You guys get all excited because somebody puts $50 million into manufacturing, that's nothing. That don't do anything. When Goodyear goes to build their new (59:20), they spend from $500 million to $700 million. And I got Union City for $9 million. You figure it out, Larry.
Larry T. De Maria - William Blair & Co. LLC: Good trade. Okay. Thanks, Morry.
Maurice Manning Taylor - Chairman & Chief Executive Officer: You're welcome.
Operator: The next question comes from Alex Blanton with Clear Harbor Asset Management.
Alex M. Blanton - Clear Harbor Asset Management LLC: Good morning.
Maurice Manning Taylor - Chairman & Chief Executive Officer: Good morning, Alex.
Alex M. Blanton - Clear Harbor Asset Management LLC: Good news there, Morry. Thank you. You mentioned something about a trip in June. Could you give us the details on that? I don't know about that.
Maurice Manning Taylor - Chairman & Chief Executive Officer: The annual shareholders meeting, is in Union City, Tennessee at the old Goodyear facility, has 2.2 million square feet. We'll probably have carts to take people on. But we'll take you around and you can see what we bought. All right?
Alex M. Blanton - Clear Harbor Asset Management LLC: And when you bought for $9 million?
Maurice Manning Taylor - Chairman & Chief Executive Officer: Yeah.
Alex M. Blanton - Clear Harbor Asset Management LLC: Yeah. And how many...?
Maurice Manning Taylor - Chairman & Chief Executive Officer: And you'll see what we're doing. You'll see what we're planning to do. You'll see what we have and what we're doing. It's like when I tell people that you don't go – but I will come in. What we want to do, well, you see there's – maybe I need two welders, there's two in-lines there, two welders, probably two tractors, but I'll make the new DC welders. We make our own equipment. And then I'll take those welders out that are in Quincy out, and I put the new DC welders and take the other welders down there. I'll do the same with the tractors. So if we have to build or buy a piece of new equipment, it stays in the U.S., and then we take the U.S. equipment. We'll move it down to South America. So we're not going to spend a lot of money.
Alex M. Blanton - Clear Harbor Asset Management LLC: What's the date of that meeting?
Maurice Manning Taylor - Chairman & Chief Executive Officer: June 4.
Alex M. Blanton - Clear Harbor Asset Management LLC: June 4.
Maurice Manning Taylor - Chairman & Chief Executive Officer: 11 o'clock. You get a plant tour, everything. You guys come to the Shareholders' Meeting. Shareholders' Meeting is like about – it's not like Warren Buffett. I'm not trying to sell you stuff. But as you know, it lasts for about five minutes, and then the plant tour and you get a chance to ask the board any question you want to ask them. Because you're all there.
Alex M. Blanton - Clear Harbor Asset Management LLC: Is that the plant that you bought a bunch of equipment that was worth $90 million or something?
Maurice Manning Taylor - Chairman & Chief Executive Officer: Well, I never put a price tag on it. So I'm not going say it to you now. It was for the equipment. It still is for the equipment. Certain of the equipment we are using, which we – came under our deal, most of this equipment – well, Goodyear wants us to scrap it, but scrap stinks, so why would you waste your time now? And I don't need the space. When I need the space then I'll do it so.
Alex M. Blanton - Clear Harbor Asset Management LLC: You also...
Maurice Manning Taylor - Chairman & Chief Executive Officer: If Goodyear wants the equipment, they pay me a set price then – but I don't think they want the equipment.
Alex M. Blanton - Clear Harbor Asset Management LLC: Is that the one where you were able to rehire the people without the union being in and then you...
Maurice Manning Taylor - Chairman & Chief Executive Officer: I did not do that. Okay? What we did, all right, is – what have you got – Leo Gerard from Steelworkers sitting next to you? What we did is we gave people that have an entrepreneur want/wish that we allowed them – we rent the equipment to them and when they sell stuff, they do it at a certain price for us. And then when they go to the outside and sell mixed stock or they sell fabric or they sell the steel-coated stuff, then we share in the profit.
Alex M. Blanton - Clear Harbor Asset Management LLC: So you've got a bunch of small businesses within that plant that are...
Maurice Manning Taylor - Chairman & Chief Executive Officer: Most of them are LLCs and there's probably six or seven of them, yeah. And then, we have a mining facility. That's all our people. Okay?
Alex M. Blanton - Clear Harbor Asset Management LLC: Okay. Second question is this, you mentioned you have some adjustments to make in Europe and the plan is in place, but I don't think you gave any details on what that is.
Maurice Manning Taylor - Chairman & Chief Executive Officer: Well, because I'd get in trouble if I was telling you everything. Okay?
Alex M. Blanton - Clear Harbor Asset Management LLC: Yeah, okay.
Maurice Manning Taylor - Chairman & Chief Executive Officer: And everybody will start shooting at me. But, yeah, if I told you we got adjustments, I'm telling you that we know what we got to do and but the first thing we had to do was correct the ones that we're really having a miss, which was Brazil, Russia and we had a few things we had to do here in the States, okay?
Alex M. Blanton - Clear Harbor Asset Management LLC: Yeah.
Maurice Manning Taylor - Chairman & Chief Executive Officer: Now, John, because he's from the finance, he was quite on it, but he was over there. He turned around and he came back with his idea. Paul was over there. He came back with his ideas, and Paul's going back in another week or something, and we have a plan. And what our plan is is to turn around and increase their profitability. And it's the way how you do it. You have to move. You see, I don't need a two-year plan to move out of one factory into another in Italy. So now, that is being moved up much, much faster. We got approval. We took 80 people out and it's very hard to take employees out over there. Hopefully, by the time we get that done, we'll pull their head out of their rear end and figure it out – the government. But we got the same thing at a couple other little locations, and there's some things to do – for them to do to improve their margins, which don't include taking people out. It includes making some changes and getting it done.
Alex M. Blanton - Clear Harbor Asset Management LLC: Sounds good. Thank you.
Maurice Manning Taylor - Chairman & Chief Executive Officer: You're welcome.
Operator: Our next question comes from Joe Gomes with William Smith.
Joseph Gomes - Wm Smith Securities, Inc.: Good morning.
Maurice Manning Taylor - Chairman & Chief Executive Officer: Good morning, Joe.
Joseph Gomes - Wm Smith Securities, Inc.: Most of my questions have been answered here already, but just trying to get some clarity on the Tire Reclamation project. If I heard you correctly, you were saying that that business could bring in roughly $100 million of ancillary business, so to speak, not business that has to do or revenues that have to do with the actual reclamation, but just additional products and services that you could sell to the companies up there. Did I hear that correctly?
Maurice Manning Taylor - Chairman & Chief Executive Officer: You heard that real well.
Joseph Gomes - Wm Smith Securities, Inc.: Okay.
Maurice Manning Taylor - Chairman & Chief Executive Officer: In other words, what it is is that – we are the only ones – we've gotten our permits up there. We're the only ones – and we haven't hired so many engineering consultants to make sure that it's not smoking the field. I'm not pulling a David Copperfield. (01:07:00) So they know it's for real. And so what we did is they're oil companies, and they all have 50 times more lawyers than us. So everything is in a contract. So what we talked to them about was that, hey, we don't have a problem taking care of this and everything else. And, yes, there's strong margins in it. But you're dealing a problem – you're solving one big environment problem for them. So, therefore, since we make wheels, tires, track, and we invested all that money into service trucks, everything else, and what I didn't know is that all that oil sand is pushed on to conveyor belts that run on chain, that goes on similar chain to a big used bulldozer. Just for sake, we'll use Cat because I know Cat's numbers (01:08:12), which are Intertractor (01:08:18) makes so we don't sell it to them. So I could sell – I'm going to take their big belts that they had coiled up for 1970s, trying to figure out what to do with them, and we can run those through, too. So I should be able to sell them the chain and when we got them negotiating, they agree. They agreed with everything I just told you. So we just start adding it up. It gets big quick. So we have the space now up there. There's two buildings on the space we got at the Voyager site and it's going to be chock-full. And that's real good for us. Currently today, they buy it from a distributor and most of that's done. So that's not too hard to compete with.
Joseph Gomes - Wm Smith Securities, Inc.: Okay. Okay. And the CapEx number, I think in the fourth quarter you guys are saying for the year should be roughly $65 million. Is that still a good number?
Maurice Manning Taylor - Chairman & Chief Executive Officer: As far as I know. Our decision to go for the real business down there – you got to remember, we – I'm going to have transportation and installation cost, but most of the equipment, we have bought – the only thing we would have to buy is probably a freight system down there which we'd have to buy in Brazil anyway. But most everything else – we have the presses, we have everything. So I think that'd be good.
John R. Hrudicka - Chief Financial Officer: I'll make another comment on capital. So when we plan the capital number that you just referred to, that was part of our 2014 budget process. So that's what we plan for. We were very specific to the business units to let them know that while we plan for that, that's not approved capital spending. I mentioned the new capital committee process that we go through in the rigor of EVA that screens each capital request. So realistically – while we don't have a forecast for capital, realistically, I expect that probably will be something lower than the $65 million we talked in Q4, just because of the rigor relative to EVA that we'll screen the projects with.
Joseph Gomes - Wm Smith Securities, Inc.: Okay. Great.
Maurice Manning Taylor - Chairman & Chief Executive Officer: And to add to that, I signed them all, and they know I refused to sign quite a few. They're nuts, okay? So and it's all part of the learning process. When you run through all the acquisitions that we did in the couple years leading up to the crunch time. So I agree with exactly what John just said. Your $65 million, I don't think it's going to be spent, and it should be considerably lower. But if they can come under the new formula and show where it's going to pay back, we will spend it.
Joseph Gomes - Wm Smith Securities, Inc.: Okay. Great. Thank you.
Maurice Manning Taylor - Chairman & Chief Executive Officer: You're welcome.
Operator: Our next question comes from Bob Franklin with Prudential Financial.
Robert M. Franklin - Prudential Investment Management, Inc.: Hi. John, did you say what's in the $8 million other income, or could you tell us?
John R. Hrudicka - Chief Financial Officer: Primarily, that's the FX gain that I spoke about. And if you remember my comments and the reason why I emphasized it is because a lot of the I guess articles that were being written about Titan and the concern being expressed, the currency relative to our intercompany loans and balances was cited. Specifically, we lost $32 million on that in 2014. So we actually turned a $6 million gain in Q1, so that makes up the bulk of what you just referred to. But more importantly, we did something very proactive to drive that gain. $4.5 million of that $6 million was the result of hedge positions we took with the sterling pound and the euro. And as I've said on the call, we're continuing to explore more additional strategies relative to mitigating risk relative to currency.
Robert M. Franklin - Prudential Investment Management, Inc.: Okay. So that $8 million or $6 million, the whole thing I guess would be part of your EBITDA calculation, right?
John R. Hrudicka - Chief Financial Officer: Yes.
Robert M. Franklin - Prudential Investment Management, Inc.: Right. And if currencies stay where they are and you don't do anything else, would we expect to see that continue?
John R. Hrudicka - Chief Financial Officer: No. You're not going to see a $6 million gain if currencies – every quarter if currencies stay stable. In fact, we're continuing to evolve that strategy. We actually lifted the position because of some restructuring that we did that was probably causing a little bit more risk with one of the positions that we had. So we'll continue to adapt. But if currency stays stable, we should be in a pretty good position this year relative to FX on our intercompany loans and balances.
Robert M. Franklin - Prudential Investment Management, Inc.: Okay. That's terrific. Thank you.
Operator: Our next question comes from Seth Crystall with R.W. Pressprich.
Seth H. Crystall - R.W. Pressprich & Co., Inc.: Yes. Thank you for taking my call. Good morning.
Maurice Manning Taylor - Chairman & Chief Executive Officer: Good morning.
Seth H. Crystall - R.W. Pressprich & Co., Inc.: You talked about a Brazilian acquisition, but you didn't mention any kind of cost. I'm assuming you're not going to share that kind of cost with us this morning?
Maurice Manning Taylor - Chairman & Chief Executive Officer: I think I got to share it with the guys who we're dealing with, okay? We went down there, and we've located – let's just call them A, B and C, all right? And the parameters are the same. We will buy 70%, let them keep 30%, and then we'll take their 30% out over a period of time. So we're in negotiations, and if A agrees, then we present that to the board. We're not going to just give them one choice but to tell you on a public, worldwide here what/where would not do Titan's interest any good.
Seth H. Crystall - R.W. Pressprich & Co., Inc.: No, I appreciate that. John, just in terms of liquidity, I mean the company has $191 million in cash. I think I saw in the 10-Q availability on the revolver about $106 million. So you've got plenty of liquidity from my perspective. If the company wanted to go out and make a bigger acquisition and maybe what's going on in Brazil because maybe an opportunity arises, could you give us an idea how much, based on the covenants and the senior notes, you might be able to borrow in addition to what you already have available on the revolver and the cash?
John R. Hrudicka - Chief Financial Officer: Well, Seth, and I know there's been some conversation about this. You heard a lot on this call in terms of the efforts we're making to improve profitability. What I would say is I would just point you to the bond indenture and our credit agreement. It's not something we're currently contemplating and, therefore, we've not done the due diligence necessary to really answer your question. And I believe there's also specific calculations that apply to this that just has simply not been performed. As I've said, we've not contemplated this.
Seth H. Crystall - R.W. Pressprich & Co., Inc.: Okay. So I guess it's...
Maurice Manning Taylor - Chairman & Chief Executive Officer: There's so much cheap money out. You can go buy whatever the hell you want, and they'll cut it to you. So money is not the object. That whole thing that that blog wrote out there, philosophying, well, it's probably because he has a buddy that wanted to short the bonds and driving down bond. And now they're very happy. I'm mad. I didn't find out about it quick enough, I would have bought them.
Seth H. Crystall - R.W. Pressprich & Co., Inc.: Yeah. Okay. John, maybe you could also help me again and maybe Paul also. In terms of the international business, when I look through the guarantor and the non-guarantor operations that you provide in the Q, it looks like the international was very inefficient, and even the allocation of how debt is allocated there. I know you have a intercompany loan, but might there be some point in time where you take out European debt or maybe Brazilian debt or something along those lines and bring cash back to the U.S. to repay the U.S. loan? Is that something you've discussed in terms of that? I mean I know you've talked about – Morry's talked about European adjustments you have to make. And I'm assuming that's to make those operations more efficient, so if you look through the Q, they look pretty inefficient. So anything you could tell me about what might be going on there?
John R. Hrudicka - Chief Financial Officer: I guess the only thing – and I don't know – I mean the question could have many perspectives. If you're talking about from a standpoint of reducing currency exposure, I've talked about the reclassification of certain loans to minimize that exposure, but at this point we haven't had any in-depth conversations, but I will tell you, we actively talk about our intercompany loan structure and our debt to manage that more efficiently and reduce our interest costs and mitigate the currency exposure.
Seth H. Crystall - R.W. Pressprich & Co., Inc.: Okay. Two other quick questions, so free cash flow, you said you'd hope to be somewhat positive this year. I mean working capital is a part of the free cash flow. I mean is that going to be a contributor to free cash flow this year?
John R. Hrudicka - Chief Financial Officer: Yes, it should be, not near to the extent that it was last year. Last year if I recall, it was upwards of $50 million in contribution. You saw receivables go up significantly on the quarter, which is typical of what will happen. That will stabilize, and we'll start to see some cash from that as that evolves over the year. But I've talked about – we continue to actively manage our working capital. Our inventory actually went down in Q1, which is atypical. It normally would go up on a Q1 coming off of Q4 where we really bring the balances way down. So, yes, I do expect some generation, not to the extent that we achieved in 2014.
Seth H. Crystall - R.W. Pressprich & Co., Inc.: Okay. And then just the last question, just a curiosity, Exhibit 10.1 of the 10-Q was a trademark license agreement you have with Goodyear. Is that just more administrative to put that out there, or is there something I should read into it? I haven't read it yet.
Maurice Manning Taylor - Chairman & Chief Executive Officer: Well, I think what they're talking about is that – when we bought the South American facility, what we did is we also took – and that was a prepayment of all the royalties, both in South America and in North America. So there's probably about three more years. I think it goes through 2017 and so all that money was paid. So when you look at the income statement and you see that royalties, $3 million or whatever it is, that money's already really been paid. You want to see in your P&L but then over on your balance sheet, you watch your prepaid that you have over there, that gets reduced.
Paul George Reitz - President: Yeah.
Maurice Manning Taylor - Chairman & Chief Executive Officer: So that's really – now they can speak up, John or Paul.
Paul George Reitz - President: To answer your question, the Exhibit 10.1 that was filed under Item 6 is really just a small technical/legal issue. That's nothing to do with business or operations or really any functional change in the relationship between Goodyear and our South American operations. It was a minor legal issue that we had to update, so not really any business issues associated with it.
Seth H. Crystall - R.W. Pressprich & Co., Inc.: Got it, okay. Thanks. I appreciate it. Okay, great. Thanks a lot for taking my questions.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over...
Maurice Manning Taylor - Chairman & Chief Executive Officer: So we just say good-bye. And like I said, call Todd if you want to put me on the griddle or whatever, if you want to know some other, I'd be happy. I have the rest of the day and up to noon tomorrow. Oh, lunch time, I'm tied up but that's all. I'll let you all go. Thank you, everybody. Appreciate it.
Operator: Thank you, sir. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.